Operator: Good morning. My name is Terry, and I will be your conference operator today. At this time I would like to welcome everyone to the O'Reilly's 2007 Fourth Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the conference over to Tom McFall, CFO. Sir, you may begin your conference.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: Thank you, Terry. Good morning, everyone, and welcome to our conference call. Before I introduce Greg Henslee, our CEO, I would like to read a brief statement. The company claims the protection of the Safe Harbor for forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements can be identified by forward-looking words such as expect, believe, anticipate, should, plan, intend, estimate, project, will or similar words. In addition, statements contained within this press release that are not historical facts are forward-looking statements such as statements discussing among other things expected store growth, store development and expansion strategy, business strategies, future revenues and fought future performance. These forward-looking statements are based on estimates, projections, beliefs, and assumptions and are not guarantees of future events and results. Such statements are subject to risks, uncertainties, and assumptions including but not limited to competition, product demand, the market for auto parts, the economy in general, inflation, consumer debt levels, governmental approvals, our ability to hire and retain qualified employees, risks associated with the integration of acquired businesses, weather, terrorist activities, war and the threat of war. Actual results may materially differ from anticipated results described or applied in these forward-looking statements. Please refer to the risk factor section of the company's form 10-K for the year ended December 31st, 2006, for more details. At this time I'd like to introduce Greg Henslee.
Greg Henslee - Co-President and Chief Executive Officer: Thanks, Tom. Good morning, everyone, and welcome to our fourth quarter 2007 conference call. Participating on the call with me this morning is; Ted Wise, our Chief Operating Officer; and Tom McFall, of course, our Chief Financial Officer; David O'Reilly, our Executive Chairman is also present. I'd like to start off by thanking all members of team O'Reilly for their efforts in 2007, and for the great levels of customer service we work so hard to provide. We again led the industry and comparable store sales for the year, and I am extremely proud of the job each one of you do as your efforts continue to aggressively and successfully grow our company. Now onto our sales performance in the fourth quarter; considering the strong trend we had coming out of the third quarter, as well as the strong results we had during the first half of the fourth quarter, we are disappointed in the fourth quarter 2.1% comparable store sales results. We had very strong comp store sales for a good portion of the third quarter, which generated 4.3% growth, and had a strong start to the fourth quarter, which led us to provide fourth quarter comparable store sales guidance of 4% to 6%. The sales were on track until about mid-November when our performance softened dramatically, and that softer trend continued through December. Obviously, we were surprised by the relatively sudden softness in our business. As you know, it's always difficult to predict sales performance in retail, and it can be difficult to fully understand the drivers of sales performance even when looking back. Our perception of our comparable store sales performance in the fourth quarter is that our customers continue to be under significant financial pressures due to higher energy costs, inflation on consumable goods, and general economic conditions. We continued to feel that many of our customers are deferring maintenance of their vehicles, as much as they can, and that the holiday shopping season put even more pressure on financially strapped consumers, which we believe contributed to the softer sales we experienced in late November and December. As most of you know, two of the primary drivers of demand in our business are the number of miles driven in the U.S. and the average age of the vehicles on the road. Through October of 07, which is the most recent information available from the department of transportation, the total number of miles driven in the U.S. is up about 10 basis points over 06. While that growth is not as robust as we experienced in 2005 and prior, it's still a positive driver of demand for our business. The most recent data we have on average vehicle age shows both light truck and car average ages continue to increase. In 2001, the average age of a car was 9.3 years and light truck was 8.4 years. And currently, the average age of cars is 10.1 years, and light trucks is 8.8 years. Another factor to consider is the quality of later model vehicles and the technology used in them. The better quality allows the average vehicle age to continue to increase in the vehicle's drive train and some of the other key components continue to perform well at higher mileages. Yet, most of the core automotive aftermarket supply parts and components continue to acquire the same routine maintenance as in years passed. And the higher mileages these vehicles reach requires that these vehicles go through more maintenance and repair cycles to major systems such as brakes, steering, suspension, drive belts, cooling system, ignition, the list goes on. These higher mileage vehicles are a significant driver of demand in our business, and our view is, that the combination of economically strained consumers, and the ability for vehicles to-date is stay on the road, at mileages higher than we've seen in the past is going to drive our customers to keep their cars longer, and drive them at higher mileages, which bodes for the future of the automotive aftermarket. In addition, unlike the vehicles from years passed, these vehicles have many electronic components on them and they require maintenance at higher mileages. Components like electronic control modules, oxygen sensors, throttle position sensors, and mass airflow sensors just to name a few. My primary point is that we have every reason to believe the demand in our business is building, and we will continue to grow. However, consumers are currently doing their best to balance challenging household budgets and our deferring automotive maintenance that they feel can be deferred. This won't go on forever, and we feel our company is positioned extremely well to take advantage of a more robust aftermarket business as the pent-up demand begins to release. We continue to feel very strongly about the advantages of our dual market strategy and our strong distribution network, and our unparalleled access the parts our customers need to keep their cars and trucks on the road. Additionally, we are very confident and a very experienced management team here at O'Reilly. A little over a week ago every manager in our company met in Dallas, Texas for our Annual Store Managers' conference. I can tell you, we have a very impressive group of managers that take floor ownership of their stores, and our performance in their particular markets. They fully understand the drivers of our business and the contributor to our past success and what it will take for us to continue the success in the future. We all left the conference in Dallas motivated and ready to make sure O'Reilly continues to outpace our competitors in 2008. Now, onto some more details about our fourth quarter performance. Our gross margin for the quarter came in at 44.7% of sales, compared to 44.6% last year, a 10 basis point improvement. We've finished the year at 44.4%, compared to 44.1% in 06. We continue to attribute our gross margin improvements over the past couple of years to a combination of diligent management of our distribution cost, as well as our ongoing category management efforts. Our gross margin also continues to benefit from higher sales growth in the entry level type products, which our customers tend to opt more frequently during challenging economic times as oppose to the higher quality and higher priced national brands, which typically carry a little lower gross margin percentage, but higher profit dollars. Competitive pricing on both the retail and wholesale sides of our business remains consistent with no meaningful changes. Operating expenses for the quarter increased 110 basis points to 34.2% of sales from 33.1% last year. This increase is primarily attributed to higher store payroll as a result of loss of leverage with the quick sales decline we had in November, and to the large number of fourth quarter new store openings. Many of which were scheduled earlier in the year and for various reasons got pushed into the fourth quarter, and to a lesser degree an increase in depreciation due to the rollout of our new POS system. Our store operations team, is very dialed-in managing our store payroll expense, and we are very pleased with the results of their focused efforts to this point in the first quarter. And feel very confident, that we'll be able to seek good results in this key expense category in the future. As a result of the decrease in leverage, our operating margin came in at 10.5% of sales, compared to 11.5% in the fourth quarter last year. During the quarter, we opened an additional 56 new stores, bringing our net new store openings for the year to 190 stores. And we ended the year with 1,830 stores, bringing our inventory investment to 882 million, an 8.5% increase supported by 10.5% increase in sales. We are very pleased with our inventory performance this past year. The systems we developed internally to manage our inventory are proven to be a very significant competitive advantage. Having more inventory than our competitors in any give store is nearly as important as having the right inventory. And we feel we've been able to leverage the powerful systems we've build along with the talent and experience of our inventory management team to put the right inventory in each of our DCs and stores. Even in the less than ideal macroeconomic conditions we've been able to effectively grow our sales at a rate greater than our inventory growth. As a result, inventory turnover improved 1.64 times compared to 1.61 times last year in spite the continued SKU proliferation in our industry. In turnover net of payables improved to 3 times from 2.8 times in the fourth quarter of last year due to our ongoing efforts to manage strong relationships with our vendors and to negotiate the best possible payment. Our accounts payable as a percent of inventory increased 400 basis points from 39.2% last year to 43.2% this year. To summarize, we continue to feel that our dual market strategies and ideal business plan for our industry and we work everyday to improve our execution of the way we go-to-market on both sides of our business. Our vast distribution network along with a very powerful inventory management systems we use offer us several competitive advantages in our professional parts people are second to none. We continue to believe that macroeconomic conditions continue to drive many consumers to defer some of the vehicle maintenance items that can't be deferred, and we feel confident that we will benefit from that pent-up demand at some point in the future. So far in the first quarter, our comparable store sales have improved somewhat. Though we have tough comparisons for the remainder of the quarter, considering that we are comparing to 6.8% comparable store sales for first quarter last year, we estimate that our comparable store sales for the first quarter will end up in the range of 1% to 3%. Obviously, we will be trying to see that, but in this environment we are comfortable with that range considering the comparisons. For the year with softer comparisons, we are estimating comp store sales in the range of 3% to 5%. Again, we feel very confident that there is significant pent-up demand that we will be incrementally released overtime and the economic stimulus package that is currently underway will benefit our core customers, and will be helpful to the automotive aftermarket as we think many of those dollars will be used for households to get caught up on things like maintenance of their vehicles. Again, I want to thank team O'Reilly for their hard work in 2007, and for their dedication to the success of our company. We are looking forward to a great 2008. I will now turn the call over to Ted Wise, our Chief Operating Officer.
Ted Wise - Co-President and Chief Operating Officer: Thanks, Greg, and good morning, everyone. To give you a quick expansion overview as Greg mentioned we finished the year with 830 stores, and installed 56 new stores in the fourth quarter, which allowed us to obtain our goal of 190 new stores for the year. The expansion process starts with selecting and developing the right side. The planning for the correct inventory coverage and recruiting and training the store teams that ends up with the store installation and setup to development open an average of almost four stores each week is a true team effort throughout the company. However, the actual store setup requires a huge amount of physical work and commitment to get the jobs done every week. Our store installation team, along with literally 100s of team members from surrounding stores come together in the field to physically install these new stores, and I would like to recognize and thank them for the great job they do. In the record number of 190 new stores installed this year. Now, we will briefly overview our expansion activity by market. In the last quarter, we installed 10 Texas stores, seven Indiana stores, six Georgia stores, six Ohio stores, six Minnesota stores, and five Missouri stores, the remaining 16 stores were distributed in 12 different states. The total for the year pretty much marred one quarter, with 32 stores installed in Texas, 21 Georgia stores, 20 Indiana stores, 15 Minnesota stores, 15 Missouri stores and 14 Ohio stores. The remaining 72 stores were divided up in additional 18 states. Last year we relocated eight stores giving us a total of 38 relocations for the year. A large number of these location were in Midwest store group, which were approaching completion on those relocations. In addition, we complete 63 store remodels and renovations last year. All-in-all, with new stores relocations, and remodels, we completed over 300 projects in 2007, plus we finished another 150 store interior restriping and signage packages, which was very close to completion of this project. In areas to our acquisitions, 2007 was a live year, with six stores purchases or approximately 4% of our store growth. We continue to look for good consolidation opportunities that remain very discipline in our evaluations. This year we've expanded into a larger number of new metro markets than has been normal in the past. These markets included solid North Carolina, Jacksonville, Florida, El Paso, Texas. And in Ohio, we entered Cincinnati, Columbus and Dayton. Obviously, all of these are great markets with lots of additional store growth potential for the next two to three years. As we announced on our last call, we have set an expansion plan of 205 stores this year. We will continue to balance and support this growth of our 14 distribution centers with a larger percentage of the store openings continue to be out in Indianapolis, Atlanta, and our recent relocated Indianapolis facility. Also, as we previously announced, we will be opening our 13th distribution center in Lubbock, Texas in the third quarter this year, which will give us the ability to continue our expansion into El Paso, Texas and into New Mexico. We've increased the number of site acquisition teams that work the markets for new locations, and wherever possible improved our process to address on the timing and construction issues we faced last year. Development schedules are moving targets and for a variety of reasons that are often hard to control, and I feel we are better prepared, certainly every year gain more experience in the current development environment. The main solution and our goal is to ensure the sufficient number of sites in the pipeline that we are... that enable us to meet our expansion goals while allowing issues that will undoubtedly arrive in specific properties and developments. Now in the store operations area, we have several important store system projects that were completed and implemented last year. Our Infinity Parts System, the new graphical point-of-sale software was completed and installed in the fourth quarter. This computer system conversion proved to be an easy change for our existing part expansions. And for our new team members, the Infinity Point-of-Sale system is much easier to learn and now our new team members can become sales productive in a matter of a few days. We are continuing to work on additional features to the system that would be introduced later this year that will better assist our team members in making related sales and also provide technical information that our customer needs to do the actual repairs. The O'Reilly right track screening online our new computer-based learning management system is now implemented in all of the stores, and provides computer-based interactive training for all team members using our company's e-mail. And lastly our Store Labor Scheduling System, continues to evolve as an important tool that provides our managers the information they need, to properly staff for higher service levels who are also managing store productivity. As with any addition or change in the operating systems, the difficult part of implementation is behind. We are now looking forward to realizing ongoing store operations and customer service benefits or our new POS system, training system, and stores scheduling. And we hope that if we'll be able to grow our sales and profit in the future. Our installer sales team O'Reilly First Call, the team used to be focused on building strong relationships with our professional customers, based on a great selection of quality parts and most importantly high service levels to the shops. Our certified auto repair, which is our installer marketing program continues to expand a rate of 40 new customers each month. Even in a challenging business climate, we are confident that we are growing market share both at the installer and the DIY level. As Greg mentioned, we just finished our Managers' conference in Dallas last week, and it was a very successful conference. Our team of over 2,500 was educated and motivated to make 2008 a successful year, and I can assure you that the departing attitude was very positive with the team feeling they have it necessary sales programs and experienced leadership to make 2008 a good year for us. With this I will turn it back over to Tom.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: Thanks, Ted. To move through the numbers, sales were up 8.2% to $604 million for the quarter with comparable store sales of 2.1% with stores opened greater than 12 months, versus 2.1% comparable store sales for the fourth quarter of 2006. Year-to-date sales increased 10.5% to $2.5 billion, and comparable store sales of 3.7% versus 3.3% in the prior year. Sales to independent jobbers for the fourth quarter of $11.1 million decreased 3% from the prior year. For the year, sales to independent jobbers of $47 million were down 2% from 2006. Gross profit was 44.7% of sales for the quarter versus 44.6% in the prior year. For the year, gross profit was 44.4% of sales versus 44.1% in the prior year, improvements primarily driven by improved product mix and distribution efficiencies. SG&A for the quarter was 34.2% of sales versus 33.1% in the prior year, the de-leverage was the results of higher store payroll primarily relating to the timing of new store openings and the additional investments made in store technologies. For the year, SG&A was 32.3% of sales versus 31.7% in the prior year. The de-leverage was the result of higher store payroll again primarily related to the timing of new store openings, higher stock compensation and advertising expenses, and the additional investment made in store technology. Operating income for the quarter was 10.5% of sales versus 11.5% in the prior year. For the year, operating income was 12.1% of sales versus 12.4% in the prior year. The tax provision was 37.1% of pretax income for the quarter versus 36.9% in the prior year. The full year tax rate was 36.9% of pretax income from both 2007 and 2006. Net income for the quarter was $40.6 million versus $40.4 million in the prior year. For the fourth quarter net income was 6.7% of sales as compared to 7.2% in the prior year. For the full year 2007 net income was 7.7% of sales versus 7.8% in 2006. For the quarter diluted earnings per share was $0.35 per share, which was even with the prior year. The fourth quarter of 2,000 EPS is based on 116.3 million shares. EPS for the year was at $1.67 per share versus $1.55 in the prior year which is an 8% increase. Moving onto the balance sheet, inventory was $882 million up $69 million from December 2006. This represents an 8% increase over last year versus 12% increase in store count over the same period. Total assets were 2.3 billion, $302 million increase in December 2006. The increase is due to the growth in fixed assets and inventory related to store and distribution center growth. Accounts payable of $381 million was an increase of $63 million over December 2006. AP to inventory of 43.2% increased 400 basis points and 39.2% in December 2006. The AP to inventory ratio was price of the impact by vendor, better vendor terms, improved leverage of inventory at the similar level than to our DCs. Debt levels were $100 million at the end of this year versus the $110 million at the end of last year. At the end of 2006, our revolver borrowings were $10 million. At the end of the 2007, there were no revolver borrowings. Debt-to-capital was 5.9%, debt to EBIT of point two times. Short-term debt increased $25 million over the prior year relating to our private placement deals May of this year. EBITDA for the quarter was $88 million, 14.5% of sales. For the year, EBITDA of $390 million was 15.5% sales versus 15.4% for 2006. Other performances measures, return on equity was 12.8% at the end of the quarter, return on assets 8.8%, and return on invested capital 12.2%. For some other financial information, LIFO during the third quarter increased by... I am sorry, the reserve for LIFO increased by $3 million. Deprecation was $22 million in the quarter and $79 million for the year. Capital expenditures for the quarter were $63 million and $283 million for the year. Interest expenses $1.2 million for the quarter and $3.7 million for the year. For the quarter, cash flow from operating activities was $18 million with a negative free cash flow of $46 million. For the year, cash flow from operating activities was $299 million, which was 61% increase over the prior year. Free cash flow for the year was $70 million and pretax income is $60 million over the prior year. This year's improved free cash flow performance has been the result of improved EBITDA, better average per store inventory levels, and increases in payable terms, offset in part by higher capital expenditures and the timing of federal tax reserves. Now for our guidance; for the full the year 2008, the capital expenditure guidance was $275 million to $285 million; depreciation $92 million to $95 million. The tax rate is estimated at 37.0% to 37.2% of pretax income with free cash flow of $20 million to $30 million for the year. Our gross margin guidance is 44.4%, 44.7% of sales on revenues of $2.7 billion to $2.9 billion. Same-store sales guidance is 3% to 5% in full year, and the diluted earnings per share guidance for the year is $1.84 to $1.88 in the stock option expense on an estimated 117.5 million shares. For our first quarter guidance same-store sales 1% to 3%, and diluted earnings per share guidance is $0.41 to $0.45 per share on an estimated 116.6 million shares. At this time I'd like to turn the call back over to Greg.
Greg Henslee - Co-President and Chief Executive Officer: Thanks, Tom. If I know all of you are aware, one of the topics, our executive management teams have been focused on lately is the consideration of acquiring CSK Auto. As we previously disclosed, we've been considering this potential combination for quite sometime, and there have been several discussions with their management team over the past year about the possible combination. We made the decision late last year that was in our best interest to incrementally buy their shares on the open market. This was before the unforeseen December announcement of their pooled and anticipated performance and the engagement of a banker to explore strategic alternatives. The trading price of their shares appropriately adjusted following that announcement. We have now negotiated a standstill agreements with which we are comfortable and are further evaluating the possible combination. I want to assure everyone that we are a disciplined bidder and we'll only pursue this transaction if it makes sense for O'Reilly and our shareholders. Based on the confidential nature of the process, we are going to limit our comments on this consideration and would ask that you please refrain from asking detailed questions about the CSK acquisition at this time. At this time, I would like to ask Terry, the operator to come back and we'll be happy to answer questions. Terry? Question And Answer
Operator: [Operator Instructions]. Your first question comes from Matthew Fassler with Goldman Sachs.
Matthew Fassler - Goldman Sachs: Hello, and good morning to you.
Greg Henslee - Co-President and Chief Executive Officer: Good morning, Matt.
Matthew Fassler - Goldman Sachs: Thanks. Couple of questions; first of all, I'd like to focus on the new stores, I am not sure if the calculation was impacted by the timing of openings, but our new space productivity calculation showed a softer number in the fourth quarter than we've seen in sometime, and related to that, if you could speak about where you are in terms of store opening, the timing of store openings vis-à-vis are scheduled given that something got a bit of track at mid year and whether the expenses you associated with, that should essentially moves on at this point whether that languished?
Greg Henslee - Co-President and Chief Executive Officer: Yeah. Well, there is no question that the timing is lock in 07, and 56 stores opened in the first quarter, we pushed them into the fourth quarter than we would have liked. And fortunately, several of the stores that were opened in the fourth quarter were opened right at the tail-end of the quarter. So, it's obviously impacting the perception of productivity in our new store as more than the productivity we've actually gowned. I don't know if you know that nothing will likely be similar, but it was a big number.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: December was inproportionately high for the quarter.
Greg Henslee - Co-President and Chief Executive Officer: Yes.
Matthew Fassler - Goldman Sachs: We are on track now to open 41 stores is in the first quarter?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: It will be right at 40 --
Matthew Fassler - Goldman Sachs: Yes.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: The second quarter is geared up and planned opening about 70 to 75 in the second quarter.
Greg Henslee - Co-President and Chief Executive Officer: Yes, we get caught up in the second quarter, we're little behind where we would ideally like to be in the first quarter, but we've got more than we have in the second quarter than we will be more level in the third and fourth quarters.
Matthew Fassler - Goldman Sachs: And should we think about that expense issue like bring a bit as well or is that basically resolved at this point?
Greg Henslee - Co-President and Chief Executive Officer: The store payroll issue, we feel like to resolve. We put a kind of focus on, just managing every piece of store payroll from the punch time, to management of overtime, the dedicated use of our scheduling system just kind of all hands on that view of how we manage our payroll, and we have been very pleased with the results we have seen so far this year with the managed numbers of store payroll. So we cannot put that behind us, as well as just the management of the payroll for new store openings. For the tail-end of last year, we did several things different with regard to the way we manage new store opening payroll otherwise it's always there we feel like we do the better job manage and not we ever have in the past.
Matthew Fassler - Goldman Sachs: Great. And just a follow-up question, and I hope this doesn't violate the spirit of your request on questions about CSK, but it relates more to O'Reilly, if a deal were to get done, and that is how do you think about your organic growth just as we think about modeling the business over the next couple of years if you were to complete this transaction. How would you think about your organic growth plans over the next couple of years if you were also digesting that kind of deals?
Greg Henslee - Co-President and Chief Executive Officer: Well, obviously we would factor everything into consideration if we were to make a deal with CSK, but most likely we would decrease our organic growth. Yes we will continue to go through the process of filling the distribution capacity we currently had. We would rethink our organic growth strategy at least during the recent period, and then we would decide what to do from there, but during the accretion period there would be -- we will be an obviously a significant traction for our management team and we would plan to draw back our organic growth during that period.
Matthew Fassler - Goldman Sachs: Okay, thank you so much.
Greg Henslee - Co-President and Chief Executive Officer: Thank you.
Operator: Your next question comes from Jack Balos with Midwood Research.
Greg Henslee - Co-President and Chief Executive Officer: Good morning, Jack.
Jack Balos - Midwood Research: Hello, hi.
Greg Henslee - Co-President and Chief Executive Officer: Good morning, Jack.
Jack Balos - Midwood Research: Good morning. Good morning. First of all I didn't hear it clearly what was the LIFO charge for the fourth quarter?
Greg Henslee - Co-President and Chief Executive Officer: Our reserve increased more million dollar so it was $4 million charge.
Jack Balos - Midwood Research: $4 million charge, okay. And you have a number in terms of the sales gain that you need on a comparable store basis for your payroll ratio to remain flat?
Greg Henslee - Co-President and Chief Executive Officer: No, we continue to believe that to leverage our SG&A we need times in the 3.5% range.
Jack Balos - Midwood Research: Okay. I thought that you were doing something differently now in terms of payroll looking at it more closely, and that may have been finding some ways to streamline the process and maybe reduce that number somewhat?
Greg Henslee - Co-President and Chief Executive Officer: Well I think our answer is in relation to the de-leverage we saw in 2007 about 3.7% comp. We think the opportunity was there to be more flattish adjusted by our new store opening issues.
Jack Balos - Midwood Research: Right. So, if during the first quarter, you were on 1% to 3% range of comp, so that mean you would have a negative payroll ratio for the first quarter of 08?
Greg Henslee - Co-President and Chief Executive Officer: We are not ready to commit to that right now, that would be below our 3.5% is a whole year estimate on a quarter-to-quarter basis based on the timing of new stores that can fluctuate.
Jack Balos - Midwood Research: Okay. All right, this may not be the proper question to the ask about CSK, so I won't know until I ask, but I know it might in profit as well. So I take a chance and that is as you know CSK has 630 stores that do have commercial departments and over 700 that do not. I was just wondering to see new opportunity in the 700 odd stores that do not have commercial delivery departments if you need to add any on those stores?
Greg Henslee - Co-President and Chief Executive Officer: Yes Jack, that would -- obviously there was a couple of reasons that we were interested and one is obviously from the geography, we don't have much overlap with CSK, their stores are about 5 store is what we typically use and because of their maybe lack not as effective penetration on the wholesale side of business, we would view that as an opportunity for us and all their existing stores.
Jack Balos - Midwood Research: Okay. Thank you very much.
Greg Henslee - Co-President and Chief Executive Officer: Thank you.
Operator: Your next question comes from Gary Balter with Credit Suisse.
Gary Balter - Credit Suisse: Just one clarification, you mentioned the $400 million charge what is that against last year for LIFO charges?
Greg Henslee - Co-President and Chief Executive Officer: We are looking here, just a second. Do you have another question?
Gary Balter - Credit Suisse: Yes, the more general question is, you are guiding to 1 to 3 which is really good number 2007 from last year and then you are talking about 3 to 5. Greg, just give me comments to those type of macro being challenging. So, how much of this is depended on the stimulus package working in, could you talk about what you saw last time when they had these type of stimulus packages in 01 or 03? Thank you.
Greg Henslee - Co-President and Chief Executive Officer: Well, obviously the reason for 1 to 3 is, the issues had as you noticed in our top computers, it's almost 70%, if you look to our year, separate from the last year we were 3% to 4.3% from and 2.1%, so we are pretty comfortable with the comparisons for the remainder of the year and for that reason we are relatively confident with the 3.5% and that's obviously the economic stimulus package adds to that level of confidence and the values and we've intended exactly the kind of view that we do for most. I really don't recall exactly the effect that we had during the last economic stimulus package. I mean I have to go back and look at our comps and I want an opinion, because I really don't recall exactly what the effect was.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: To follow-up on the LIFO question, fourth quarter of 2006, the LIFO charge was $3 million.
Gary Balter - Credit Suisse: And then, just last thing and that said anything is, the account payable if fully moving up, how much more room do you see in the payables and when you give us the free cash flows $20 million to $30 million, what does that assume for accounts payable?
Greg Henslee - Co-President and Chief Executive Officer: It assumes moderate improvement in the accounts payable ratio. We think we have quite a bit of opportunities to increase that in our ratio, but we are going to look at that in context of our total deal with our vendors where we think that can go to, we don't see the cap right now and see that over the next two or three years we will continue to push up.
Gary Balter - Credit Suisse: Thank you very much.
Greg Henslee - Co-President and Chief Executive Officer: Thanks, Gary.
Operator: Your next question comes from David Cumberland with Robert Baird.
David Cumberland - Robert W. Baird: Good morning.
Greg Henslee - Co-President and Chief Executive Officer: Good morning.
David Cumberland - Robert W. Baird: Greg, you mentioned that accounts have improved somewhat to-date in Q1, was that relative to all of Q4 or the latter part of Q4 where you saw the improvements?
Greg Henslee - Co-President and Chief Executive Officer: That's relative to the total of Q4, it's relative to the 2.1% we had in Q4.
David Cumberland - Robert W. Baird: Great. And then, I believe your Q1 has an extra day due to leap year. Is that the case? And then, how does that affect the comps calculation for Q1?
Greg Henslee - Co-President and Chief Executive Officer: The comps calculation for Q1 does have an extra day. It's in large part offset by an additional Sunday in comparison to last year, which as you know, half of our business doesn't operate on that additional Sunday.
David Cumberland - Robert W. Baird: Thank you.
Greg Henslee - Co-President and Chief Executive Officer: hank you.
Operator: Your next question comes from Tony Cristello with BB&T Capital Markets.
Anthony Cristello - BB&T Capital Markets: Thank you, and good morning gentlemen.
Greg Henslee - Co-President and Chief Executive Officer: Good morning, Tony.
Anthony Cristello - BB&T Capital Markets: Greg, you noted, customers continuing to trade down. Is that primarily on the DIY side of the business or are you also seeing some change in pattern with respect to affinity the branded products from the commercial side of the business?
Greg Henslee - Co-President and Chief Executive Officer: Tony, it's most prevalent on the DIY side. We see some of it on the wholesale side, here customers put pressure on our customers to be more competitively priced on a job or something or the wholesale side of the private label stuff is increasing little bit more than we've seen in years passed. And I was stating that is with our gross margin, we did not necessarily on good from our gross profit perspective. In my opinion, it's just a symptom of the economic pressure that our customers are under.
Anthony Cristello - BB&T Capital Markets: And when they trade down, is that primarily from a branded product to a more of a private label product, and is it a situation where it's just a competitive marketplace from a pricing standpoint, so you couldn't sort of raise the floor?
Greg Henslee - Co-President and Chief Executive Officer: Yes. In our case they are trading down typically from a -- they are either trading down or they are not buying up to the branded product. Our line up would typically be a private label product, and then we would sell that branded product, and most of our installers would prefer the branded product, and that's typically what they would buy. And the second half of your question was what?
Anthony Cristello - BB&T Capital Markets: From a pricing standpoint, is it just -- competitively speaking, you are not able to maybe raise the floor a little bit on that trade down price?
Greg Henslee - Co-President and Chief Executive Officer: Yeah, that's right. Typically, our private label products are in place to offer a good value for our retail customers and they are not really for our wholesale durable [ph] type business, but most prices are really competitively sharp and set, you saw in our ability to compete with our two primary retail competitors.
Anthony Cristello - BB&T Capital Markets: Okay, and just quickly, store count obviously was up sequentially Q4 from Q3, but headcount was down sequentially. Is that a function of the new payroll management system or was there something else behind that?
Greg Henslee - Co-President and Chief Executive Officer: Well, if we look from Q3 to Q4, there are number of people in the store is reduced a lot to this part-time people as we leave the selling season and enter the winter season. So that would be a typical change for us.
Anthony Cristello - BB&T Capital Markets: Okay, but was anything related to the new payrolls I mean system itself or was there anything else you were able to reduce it by a greater amount or is it just simply seasonality?
Greg Henslee - Co-President and Chief Executive Officer: No, seasonality grows best.
Anthony Cristello - BB&T Capital Markets: Okay, great. Thank you.
Greg Henslee - Co-President and Chief Executive Officer: Thanks, Tony.
Operator: Your next question comes from Gregory Melich with Morgan Stanley.
Gregory Melich - Morgan Stanley: Hi, thanks, guys, a couple of questions. On the SG&A side you said that the payroll clearly drove it and the sharpness of the sales drop in December, if you were to isolate the de-leverage effect due to the sharpness of the decline. Could you do that, was it due to that or something like that?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: That would be very difficult to do and we haven't yet tempted to do that, but we try to manage our payroll for today and tomorrow, but we will deny on the long term. So you could quantify that to be something we will be able to.
Gregory Melich - Morgan Stanley: Is it fair to say though if you would now as the beginning of the quarter that the comp would have been 2:1 that the 100 basis points could have been significantly less like 50. Is that a fair ratio?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: Yes, absolutely yes. In our business -- in any retail business it's always hard to plans, scheduling when you have a there won't sale issue like we do in our business. Obviously, the summer time is much better than it is in the winter time and business this year very pretty strong, and it maybe a result of some of the pent-up demand that we all talk about, but it carry pretty strong well in mid year, and then about a little pass than a half way in the November, we saw sudden drop in our weekly comps in that softer level to sustain throughout December.
Greg Henslee - Co-President and Chief Executive Officer: You know, the one thing that work either I think that the cost of... in the future we are going to focus on having a higher percentage part-time, team members and our seniors wherever possible. You know, because of our wholesale do exits, it's been challenging for us to having that the part-time to full-time ratios, the more retail competitors. But, we definitely have an opportunity there to move forward.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: And Greg, something I might add to that is that in 2005 and prior we had obviously not seen this kind of drop is part of the shopping season. This year, two weeks into the drop kind of -- I don't understand what's going on. And looking back at 2006 we had a similar drop and we just been related to much to the economic pressure or questions that are under related to the holiday season, but having this has to happen two years in a row you can bet that this year we're a little more what we can expect under similar economic conditions in late November and December.
Gregory Melich - Morgan Stanley: That's great. And the second question is on capital structure, again I don't -- I think it was Matt alluded, I don't violet your spirit of your CSK if you think bigger picture whether or not it occurs, what sort of coverage ratios are you comfortable with, as you consider your growth whether it's with or without CSK?
Greg Henslee - Co-President and Chief Executive Officer: At this point our direction of our company is to continue to be a consolidator in the industry. When we determine that our free cash flow could be better use somewhere else and we can't invest the cash growing just worse and the returns we like, we'd will head down that road, and when we do we will comment on what ratios we intend to maintain.
Gregory Melich - Morgan Stanley: That... but, your intention is essentially be close to debt free as we stand today but as you mature that you will pick a number in 08?
Greg Henslee - Co-President and Chief Executive Officer: Our intension would be to use our strong balance sheet, which we continue to consolidate the industry, and take down that one appropriate. Our long-term goal if we are not going to consolidate the industry would not have equity structure I think capital structure will move at that end.
Gregory Melich - Morgan Stanley: Okay. Thank you.
Greg Henslee - Co-President and Chief Executive Officer: Thanks, Greg.
Operator: Your next question comes from Dan Wewer with Raymond James.
Dan Wewer - Raymond James: Greg on another question regarding the new stores productive. I certainly understand the late openings are negatively impacting their sales contribution, but given that you would have access through the sales data to each individual store, if you were to look at those on an annualized basis, has there in fact been a deterioration during the last two years or new store first year revenues running about the same level as they were two years ago?
Greg Henslee - Co-President and Chief Executive Officer: We look at this ongoing and our new stores are pretty consistent with what they have been in the past although the last year it was a little bit softer, Tom you got the numbers there, won't you?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: When we look historically they're within our expected range, if we look back through the years the overall environment for the industry has an impact on not just the comp stores, but the new stores, so when we look at 06 and 07 stores they're comparative to classes that started in situations where the industry was not on a high note. So they're within our expectations.
Dan Wewer - Raymond James: There is a follow-up question, if you have noted that, if you were to acquire CSK that it would have some impact on your greenfield expansion, but you may fill an existing distribution needs. I was curious as to when you are looking at your distribution needs and you are look at the Carolina, is that a market where you may need an additional distribution center to support your growth and there is something you will pursue even if you want to acquire CSK?
Greg Henslee - Co-President and Chief Executive Officer: Yes. Most likely we would at some point... we are not, we haven't penetrated in many of those markets to the degree that we would like to and... will add distribution capacity in that area.
Dan Wewer - Raymond James: And that will happen regardless of whether or not you buy CSK?
Greg Henslee - Co-President and Chief Executive Officer: Yes.
Dan Wewer - Raymond James: Okay, great. Thanks.
Greg Henslee - Co-President and Chief Executive Officer: Thanks.
Operator: Your next question comes from Mike Baker with Deutsche Bank.
Greg Henslee - Co-President and Chief Executive Officer: Good morning, Mike.
Michael Baker - Deutsche Bank Securities: Hi, thanks guys. Can you just comment on a couple of questions; one is, I think the SG&A in 07 have been impacted by moving into more metro markets for this profit and more higher opening costs. Do we I think continues into 08 and then a follow-up, the second question would be, just can you talk about the comps on the commercial side versus the retail side in the fourth quarter, what you are seeing in really 08 in that 3% to 5% expectation, is it more skewed to one versus the other? Thanks.
Greg Henslee - Co-President and Chief Executive Officer: Okay. Well, first of all, we continue to open stores in both rural and metro markets and to some degree we may have a little higher payrolls that started in metro markets than we might have in a rural market, our intent is, I mean what we have historically proven is that we typically are able to grow sales quicker and ultimately higher in those markets than we are in the rural markets, so we fully leveraged the additional payroll. So, we don't relate so much to that... the position of our stores, as we do just kind of timing of new store openings and the management of the pre-opening payroll and things like that. So we are working on being better, I think we are in a lot better position right now than we have been, and then also, just in these metro markets as we add stores leaving the advertising leverage which is the positive attributes. On comps retail versus wholesale, our retail we don't report them separately, as I think everyone knows, but of the 2.1% comps, our wholesale comps were better than our retail comps, that our retails comps were still positive. And then we look forward to 3% to 5% guidance for this year, we would expect that our forming counts to the wholesale side of our business would be somewhat stronger than what our retail comps are, but we are still projecting positive comps on the retail side of our business.
Michael Baker - Deutsche Bank Securities: Okay, thanks. That's helpful. Just a quick follow-up on the store openings are... can you talk about a percentage or so, if you have that stores that are opening in metro markets versus rural areas in 08. How is that difficult in 07?
Greg Henslee - Co-President and Chief Executive Officer: Ted you have --
Ted Wise - Co-President and Chief Operating Officer: Yes. I mean as I mentioned a while ago, we made the initial entry in that almost a half at the pre-key metro market in 08 we'll continue to fill out those markets, as much as we can, as fast as we can it's because of the leverage and everything, but as far as the break down, I would say, historically, it's probably been about 60% rural markets or freestanding markets you might say, and probably 35%, 40% in multi-single metro type markets, and I don't see that really changing much.
Michael Baker - Deutsche Bank Securities: Okay, thanks.
Greg Henslee - Co-President and Chief Executive Officer: Thanks.
Operator: Your next question comes from Peter Benedict with Wachovia.
Peter Benedict - Wachovia Capital Markets, LLc: Hi, guys thanks for taking the question. Just Tom, I was wondering if you could give us a little more color on the 08 CapEx, maybe how it's breaking down distribution spend, new stores, any kind of color on that front?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: We don't give too much detail on the breakdown of that number.
Peter Benedict - Wachovia Capital Markets, LLc: Okay. How about -- can you give us the stock option expense number for the fourth quarter or for the year that we just completed?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: Yes, hold on just one second. On your CapEx question, we try to avoid... 2 is not to answer that because our distribution network and what changes we are going to make we would rather not disclose that until we have firm commitments on when we are going to open. For the stock option expense, for the year, we were up at about 7 basis points over the prior year. Are you looking for a number?
Peter Benedict - Wachovia Capital Markets, LLc: Yes, if you have it.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: $4.9 million versus $2.8 million in 06.
Peter Benedict - Wachovia Capital Markets, LLc: Okay, great. And then just a follow-up on the trade down that you guys were talking about, how long has that kind of been in place, has that been evolving over the course of the last year or did they kind of see a big step-up in the fourth quarter?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: No, it's been evolving over the last year or two. Really, it's kind of something that began following the gasoline price increases that we saw following the hurricanes in 05. And I mean, it's just kind of evolved as consumers have gotten more financially pressured and just have to make decisions to maintain their household budget as best they can, while meeting the demands that they have functioning every day.
Peter Benedict - Wachovia Capital Markets, LLc: Fair enough. Would you say it's more pronounced in the fourth quarter than it was probably at the first three quarter of the year or somewhat?
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: I wouldn't say it's more pronounced. I say it's pretty somewhat low in the first three quarters of the year.
Peter Benedict - Wachovia Capital Markets, LLc: Great. Thanks so much.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: Thank you.
Operator: Your next question comes from Cid Wilson with Kevin Dann & Partners.
Cid Wilson - Kevin Dann & Partners: Can you give us some further color in terms of your advertising and your marketing strategies. I guess last year we've noticed that you've been advertising and doing strategically some basketball games for example, in markets where you don't have stores yet, but may be give us some color on what your advertising strategy is?
Greg Henslee - Co-President and Chief Executive Officer: Well, our strategy is in expansion markets to make our brand a household-known brand in all of these new markets. We do that in several different ways, we use radio to promote just in the brand recognition, but also values that we have in our stores are reasons the customers like coming in our stores. We used prints inserts and newspapers and direct mail run advisements and drive the traffic, and then as you see if you watch college basketball or NASCAR racing, we do as much as we can in programs advertising with basketball and NASCAR feeling like both of those are good demographics for us and the end-program advertising avoids the pitfalls of TV advertising that's primarily is a result of the TIVO devices and satellite devices that a lot of people use now. And we feel like we got a of good value and those end-program advertising that we do with motor sports. And then a big part of our advertising program is just kind of grass root stuff that we do with local they are tracks motor sports, local events like media Hispanic festivals in South Texas or car show and things like that. We feel like we get a lot of local benefit from participating in small local events that can significantly improve our recognition in the small market or even in the larger metro market as opposed to some of the nationally advertisings that we don't fully benefit from because of our geographic footprint.
Cid Wilson - Kevin Dann & Partners: Any changes in cost that you can give guidance on?
Greg Henslee - Co-President and Chief Executive Officer: We would expect to spend about the same amount on a percent of sales basis in 08 that we did in 07, though we commented few times that we made the constant decision in 07 to spend a little bit more on advertising. We ended up the year about 10 basis points higher on the advertising expense in 07 versus 06, we would expect that same percent of sales get carried in 08.
Cid Wilson - Kevin Dann & Partners: And then my next question is regarding distribution centers, now that you have Indianapolis up any guidance in terms of which direction you maybe going as we start looking at your next location for DC?
Greg Henslee - Co-President and Chief Executive Officer: Well are currently building a DC in Lubbock, Texas that will allows us to further expand in the West Texas and New Mexico and that would be our next distribution center.
Cid Wilson - Kevin Dann & Partners: Did you say Mexico or New Mexico?
Greg Henslee - Co-President and Chief Executive Officer: New Mexico.
Cid Wilson - Kevin Dann & Partners: Okay. Thank you very much.
Greg Henslee - Co-President and Chief Executive Officer: You bet.Thank you, Cid.
Operator: Your next question comes from Scott Ciccarelli with RBC Capital Markets.
Scott Ciccarelli - RBC Capital Markets: I know you guys have had a lot of competition in all of your markets, but it seems like a lot of your competitors are trying to focus increasingly on the commercial side of the business. So given the difficulty, everyone seems to be having driving retail traffic into their stores. What kind of impact do you guys expect from -- let's call it the increasing competitive pressures on your commercial side of business?
Greg Henslee - Co-President and Chief Executive Officer: Well, going back -- all of us here have been in the business for a long time, and Ted and David and I specifically have been at O'Reilly for a very long time. And much of our management team is in the same case. And we have always had a whole lot of competition on the wholesale side of the business, I know in the publicly traded companies, we're recognized as one of the companies that best penetrate that is side of the business, in addition to genuine car and large privately held companies auto parts or car quest. Outside of those guys there are just... there are lot of competitors in the wholesale side of the business and all it happens and lot of them are really good at what they do, and over the years we've learned to compete with them. But, you never get nearly all of the business; you can get the first call status, which means that every time the shopping's apart they call you first. With some of the retailers coming into that business, obviously they're another competitor, in most cases they are not as well equipped as competitors that we already had or really, I would, Tom comments, meaning in every case, we are not as well equipped as competitors that we already have. So we view it as something that we keep an eye on, and something we're always aware of, but we're very used to it and accustomed to dealing with competition on the wholesale side of the business. It's what we do and what we have always done and we are moving forward and spend as a new competitor to some degree, and that's our plan. Ted, do you have any comments on that.
Ted Wise - Co-President and Chief Operating Officer: I think then it will have increased level of competition there, but I think it will also be some consolidation in the marketplace as a weaker suppliers, and Greg was talking about basically besides that they can't make it. So, I think its high we'll continue to get... be there for us, we'll hold the type of market share we're accustomed to.
Scott Ciccarelli - RBC Capital Markets: And then, just another housekeeping item. As you guys have moved into both larger and smaller markets, let's call it a little bit more diverse. Have you guys changed the size of your box at all, are there any alterations that happen as you move around into different markets and realize there might be some slightly different real estate restrictions as you move into different markets? Thanks.
Tom McFall - Executive Vice-President of Finance and Chief Financial Officer: Well, we a couple of years ago our prototype store was 60 to 100 feet and we increased the displaced... basically to be competitive at the retail level from an image standpoint and also increase the outcome in that front. And that touches right up on 7,000 square feet. Now, we've got two or three different size of prototypes and we go into small market, we go back 6,000 to 6,400 foot store, and in the larger multi-small [ph] markets we'll dial that up to 8,500 square feet, or it never takes to carry the amount of inventory we need to be competitive in the marketplace. So, basically our prototypes were has been increased in the last couple of years about roughly 10% square footage.
Scott Ciccarelli - RBC Capital Markets: All right, that's helpful. And then just to our previous [ph] question. All right thanks a lot guys.
Greg Henslee - Co-President and Chief Executive Officer: Thanks.
Operator: We have no further questions. Do you have any closing remarks?
Greg Henslee - Co-President and Chief Executive Officer: I would just like to thank everyone for attending our call this morning, and continued interest in our company. And we'll look forward to talking to you again following our completion of the first quarter. Thanks.
Operator: This concludes today's call. You may now disconnect.